Operator: Good morning, welcome to the USA Compression Partners LP's First Quarter 2019 Earnings Conference Call. During today's call, all parties will be in a listen-only mode and following the call the conference will be opened for questions. [Operator Instructions] This conference is being recorded today May 7, 2019. I would now like to turn the conference over to Mr. Chris Porter, Vice President General Counsel and Secretary. Sir, please go ahead.
Chris Porter: Good morning, everyone and thank you for joining us. This morning we released our financial results for the quarter ended March 31, 2019. You can find our earnings release as well as a recording of this call in the Investor Relations section of our website at usacompression.com. The recording will be available through May 17, 2019. During this call, our management will discuss certain non-GAAP measures. You will find definite -- definitions and reconciliations of these non-GAAP measures to the most comparable GAAP measures in the earnings release. As a reminder, our conference call will include forward-looking statements. These statements include projections and expectations of our performance and represent our current beliefs. Actual results may differ materially. Please review the statements of risk included in this morning's release and in our SEC filings. Please note that information provided on this call speak only to management's views as of today May 7th and may no longer be accurate at the time of replay. I'll now turn the call over to Eric Long, President and CEO of USA Compression.
Eric Long: Thank you, Chris. Good morning everyone and thanks for joining our call. Also with me is Matt Liuzzi, our CFO. This morning we released our financial and operational results for the first quarter of 2019. With this quarter in the books, we've now own the CDM assets or four full quarters and the integration is substantially complete. We continue to be pleased with how the acquisition has turned out. Earlier this year, I discussed the positive outlook for 2019 and our focuses we kicked off the year. I'm happy to say that the market strength has continued through the first quarter and the outlook continues to be attractive. While natural gas prices have been volatile of late due to specific circumstances in West Texas, the natural gas sector as a whole continues to move forward driven by the same strong drivers we discussed before. As we walk through our comments today, there are a couple of fundamental drivers that differentiate contract compression and specifically large horsepower infrastructure-focused compression from those that drive the business of E&P companies or service suppliers tied to the drilling phase. Their business is directly driven by commodity prices, which are basin specific and their ability to economically move incremental volumes out of their producing basins to the marketplace. Compression demand is driven by volumes of natural gas and corresponding regional pipeline pressures. Gas volumes are up; way up across the basins the USA Compression operates in. Due to limited pipeline takeaway capacity existing pipes are in many cases running full and in capacity, which means they are operating at higher than normal pressures requiring more compression horsepower to move those volumes. Many of USA's customers have firm transportation contractual arrangements on existing pipelines, which allows them to receive market pricing rather than to experience substantial basis differential reductions and they continue to develop and produce their oil and gas projects. So USA's base business remain stable and strong. Over the next several years multiple regional -- multiple major regional pipeline expansions are occurring across the basins in which USA Compression operates for both oil and natural gas, which will de-bottleneck the areas most likely improving basin specific commodity pricing and further stimulating an increase in development activity. USA is well positioned to capitalize on continued measured growth alongside of our long-term core customers as well as major oil companies, as they continue ramping up their activities in the Permian and Delaware Basin of West Texas in Southeast New Mexico. Now turning to the first quarter of 2019. First, our fleet utilization and pricing both increased from fourth quarter levels, reflecting continuing efforts to deploy idle equipment. Second operating margins were consistent with where we have operated our core compression services business over time. Third, we prudently spent growth capital during the quarter and we'll continue to self-fund our 2019 CapEx program with no equity issuance anticipated. And last, while committed to operational excellence for our customers, we continue to be focused on the balance sheet and distribution coverage both of which remain at levels acceptable for our stable business model. Last month, we declared our quarterly distribution of 52.5 per unit. Even at today's unit price, this equates to over a 12% yield. While we all know, the MLP equity market has had its challenges even going back to our IPO in 2013 then followed by the collapse in oil prices in late 2014, we continue to believe as we always have that the USA Compression business model was and is capable of producing stable cash flows and rewarding our unit holders appropriately. Our large horsepower infrastructure-focused demand driven business model provides the long-term stability across commodity price cycles. And we are managing the business in a focused manner with prudent capital spending, focused revenue enhancement, and effective expense controls. Given the financial market environment, we continue to play out for future well where self funding is the norm and additional equity is not required for our CapEx program. Our 2019 CapEx program will reflects modest growth, focused on high-return assets in order to balance customer demand in our balance sheet capabilities, resulting in attractive financial returns for USA's unit holders. Our business is driven by the production of natural gas in the midland through pipeline systems and processing plants. Demand for natural gas continues due to its relative abundance, attractive price and brand users in the environmentally friendly characteristics. We don't see this changing anytime soon, and as we said, the more gas moving through the system, the more the demand for our compression services. The EIA continuously still increasing production in the US. It estimates 91 Bcf per day in 2019, reflecting almost a 10% increase over 2018 levels. This increase in production which is transported through the US and far beyond our shores is requiring our customers to continue to invest in infrastructure to move process and ultimately deliver that gas. As I mentioned the increases in both utilization and pricing, as everyone is aware, we are effectively sold out of available idle equipment in the large horsepower classes. But we continue to work to increase both metrics selectively pushing for rate increases and making sure our assets are achieving optimal pricing out in the field. One quarter into 2019, the market is been playing out as we expected and we continue to believe our focus on large horsepower infrastructure oriented applications will differentiate USA Compression from our peers. This year, we are taking a prudent approach to capital spending and as the year continues, we will start to make players for 2020 and beyond. Those things stand right now we believe we're in a really good position. So now for the fourth quarter results, in the first quarter the market remains strong with average utilization during the quarter of 24.2% compared to Q4 average utilization of 93.8%. As our fleet continues -- our fleet review continues, we have been purposely bringing some units back from customers and deploying them elsewhere to generate better returns. For the remainder of the year, we have approximately 133,000 new horsepower set to be delivered those units are already committed to customers with many of them fully contracted. The demand for the largest horsepower classes as continued from to remain strong. From operating perspective, our total fleet horsepower in period end was virtually unchanged and approximately 3.6 million horsepower. Active horsepower at period end increased by over 31,000 horsepower to just under 3.3 million horsepower. Our relatively small amount of bioequivalent consist primarily of the much smaller horsepower units, which actually have seen a bit of an uptick in utilization. We haven't changed our focus on the larger horsepower equipment and don't expect to acquire a meaningful amount of smaller horsepower equipment, but as we are able we have been working to get the smaller horsepower idle units out working in the field as long as the economics are right and the attractive running crude prices has helped in this regard. The average blended pricing across the fleet tick upwards during the quarter by a few cents as a result of the new delivery units and selective service rate increases on equipment already deployed and working in the field. Average monthly revenue was $16.45 per horsepower for Q1, a slight increase over the fourth quarter. This will continue to be a focus for us as we move through the year. We expect general midstream infrastructure activity levels and tight supply-demand dynamics for large horsepower equipment to continue to be positive for both utilization and pricing in the sector. Earlier, I mentioned our plan to prudently spend growth capital allocation in 2019. And we continue to expect us to spend somewhere between 140 and $150 million in expansion capital this amount has not changed. We expect Q2 to be the highest point for capital spending during the year and then things will taper off as we get into the back half of the year. Consistent with our recent history, the new unit orders are predominantly large horsepower units focused on the 2,500 horsepower Class and above. Q1 growth capital was approximately $33 million including delivery of approximately 28,000 total new horse – new unit horsepower and that total growth CapEx number about two-thirds was related to those new unit deliveries. The strength of stabilized with regards to sourcing new equipment lead times for the large horsepower equipment have been reduced to levels more in line with historical practice closer to 40 leaks. Regardless of the change, we continue to see prudent capital allocation within the industry and do not expect to see a flood of equipment into our sector. We are focused on earning an appropriate return on capital for our investments and that is why we've been prudent with our 2019 capital plan and while we are taking a cautious approach to new unit orders in 2020. Our top customers have all put in their orders for our services for the rest of the year and we remain focused on meeting those requirements in our entire remaining 2019 order book has been committed to customers. It's a little too early to provide information on our 2020 order plan, but as we move through the year we'll keep you posted. An overview of the first quarter, financial performance reflected the strong start to the year, as we reported increased horsepower metrics and improved pricing even as we have fewer active dealers deployed in the field due primarily to the removal of certain smaller horsepower units. Adjusted EBITDA of $101.4 million and an adjusted EBITDA margin of 59.4% reflected the solid operating performance by our team and continued commitment to controlling expenses. In Q1, our overall gross operating margin was 66.6% in line with USA's historical levels. Our bank covenant leverage was 4.54x for the quarter and our distributable cash flow coverage ratio was 1.16x. While slightly off from the fourth quarter metrics third quarter had benefited from some non-recurring items as we discussed at that time. Putting that aside, this quarter's performance continues to trend towards our longer-term goals for the company. Now let's switch over to the market dynamics for a few minutes. At the end of 2018, West Texas Intermediate was $45 per barrel and Henry Hub gas was trading at $3.25 per Mcf. By the time we reported 2018 earnings in mid-February crude had moved up to $56 per barrel and gas has moved down to $2.60 per Mcf. And now in early May crude is continue to climb up to over $60 per barrel, while gas stabilized around the 250 to 260 per Mcf level. As we've discussed before, our business is the demand driven business driving that demand is the demand for and corresponding production of natural gas. Now I mentioned both crude oil and natural gas prices for a reason as everyone does where we don't lose crude oil but West Texas and New Mexico economics of crude oil are driving the activity and a lot of gas is being produced alongside that crude oil. To put it simply, you can't produce oil unless you produce the natural gas as well. And that associated gas dynamic has been driving a lot of our growth in the region. Turning to natural gas, the price of natural gas is generally been behaving the way everybody expected outside of the occasional weather related price spikes and pipeline related basis pull-outs, the tremendous production levels have kept the price relatively range bound. But consider what this does for the end user, natural gas is becoming very plentiful and economical fuel source that can be transported all over the world. Close to home, you're seeing new petrochemical plants being built and power generation switching to cleaner burning natural gas beyond our borders Mexico continues to build out their gas import infrastructure to access that gas coming out of places like Texas, New Mexico and others in and around the Gulf Coast and perhaps the biggest sea change over the coming years are the plans for LNG exports. At the end of 2017, the US could export around 2.75 bcf per day of LNG by the end of 2018 that number growth of just under 5 bcf a day and by the end of 2019 the EIA expects the export capacity to be nearing 9 bcf per day, putting in the U.S. into third place globally behind Australia and Qatar. That's a pretty big deal and that kind of investment will naturally have purple that effects to guys like us to help move that gas from producing regions to the areas where it can be chilled, liquefied and ultimately exported. And so our view of the market is that demand for domestically produced gas will continue to increase over the coming years. More gas moving around the country and now to other parts of the world requires more gas infrastructure and thereby increasing demand for compression. On a more regional basis the Permian and Delaware Basins continued to show the most activity and talked before about the majors the larger producers positioning themselves for years have been investment as we with this bidding for Anadarko taking place, the Delaware Basin is taking center stage. As I mentioned the associated gas being produced alongside, the crude oil is something the producers must deal with. Several weeks back some unexpected maintenance issues on some of the large takeaway pipes drove the basis for gas out there into negative territory, and this news seem to create a bit of panic. Things have recovered back to normal. We see the bigger producer still moving full-steam ahead with our investments and did not see any meaningful change in production levels. Remember our large horsepower units out there serve existing production, so rig count may move up and down, but overall trend is increasing levels of natural gas production they need to find a way out of the basin. And the SCOOP/STACK merge plays, it has developed into more of a haves and have not situation and depends on the producer and their exact location in acreage geology. This is an area where we have historically operated and as we move forward that we are aligning USA Compression in our assets with those operators in the more favorable periods. We would much rather have equipment out to the better operators who value our runtime and level of service and are willing to pay for it and to spread ourselves thin with projects that don't earn the returns that we feel are adequate. Our other operating regions the Marcellus and Utica shales, South Texas, the Eagle Ford Shale, Louisiana as well as Colorado are each performing. We continue to witness the market dynamics at play in each region adding to the overall stability of our business. With our diversified footprint and young asset fleet, we've been able to focus our efforts and capital on my areas where we get the best returns. We are not just growing just to grow, but rather in this environment making sure that the projects we take on are worthwhile with customers who value our services and appreciate the long-term relationship the USA Compression has maintained with them. Through the rest of the year, I expect that you'll see a similar pattern. The business strategy works and as we manage our capital structure, we are focused on strong operational performance, expense controls and prudent capital spending all while staying true to our strategy of large horsepower infrastructure-based applications.  I will now turn the call over to Matt to walk through some of the financial highlights of the quarter. Matt?
Matt Liuzzi: Thanks, Eric and good morning, everyone. Today USA Compression reported a great start to 2019 including quarterly revenue of $171 million, adjusted EBITDA of $101.4 million and DCF to limited partners of $54.9 million. In April, we announced a cash distribution to our unit holders of $52.5 per LP common unit consistent with the previous quarter, which resulted in coverage of 1.16 times. Our total fleet horsepower as of the end of Q1 was just over $3.6 million horsepower. Our revenue generating horsepower at period end was approximately 3.3 million horsepower. On a net basis, we added about 31,000 of active horsepower to the fleet during the quarter. Our average horsepower utilization for the first quarter was 94.2% and pricing as measured by average revenue per revenue generating horsepower per month was $16.45 for Q1. This also represented a modest increase from Q4 levels. Total revenue for the first quarter was $171 million of which approximately $168 million reflected our core contract operations revenues very much consistent with Q4. Parts and service revenue was down from Q4. Gross operating margin as a percentage of revenue was 67% in the quarter. Net income for the quarter was $6.6 million. Net cash provided by operating activities was approximately $48 million in the quarter. Operating income was $35.5 million in the quarter and maintenance capital totaled $6.9 million in the quarter, with cash interest expense net of $27.2 million. Today we are reaffirming our guidance, previously provided for 2019. We currently expect 2019 adjusted EBITDA between $380 and $420 million in DCF of between $180 and $220 million. And last we expect to file our Form 10-Q, with the SEC as early as this afternoon. And with that, we'll open the call to questions.
Operator: All right thank you. [Operator Instructions] And our first question will come from Praveen Narra with Raymond James.
Praveen Narra: Hi. Good morning, guys. It's very clear that the large horsepower marked doing well. And you mentioned improvements in the smaller kind of sub-one thousand horsepower market. Could you talk little bit more about that, it seems like we're nearing 80% utilization of that, could you kind of identify what basin you're seeing that, where we're seeing that incremental horsepower demand on the smaller side? And is it is hard the Permian on gas lift applications or how should we see that?
Eric Long: Yeah. This is Eric. And keep in mind, that we do have a relatively small fleet.
Praveen Narra: Yeah.
Eric Long: So really don't have a broad geographic focus associated with it. We are seeing a tick up in the Permian associated with smaller horsepower the SCOOP/STACK merge we're seeing a little bit of the pickup in activity. Interestingly, the Fort Worth Basin as saying it's ticked up activity. The Colorado continues to kind of follow along with some of the uncertainties that you've seen for a regulatory environment. So, I think that would suggest that you're actually seeing fairly broad utilization checkup. So I think the activities where people have been rationalizing fields downsizing from lots of small compressors to Central compression, those days are behind us. And so, as I think, again for our activities which tend to be more mid-continent in West Texas focus that would be our areas of predominantly pickup but pretty broad overall for everybody.
Praveen Narra: Let's get bigger. And then on the large horsepower equipment, as you're putting out new equipment. Are we seeing an evocation of contracting terms?
Eric Long: It varies from geographic area to geographic area. And it varies from customer to customer with some of the large plays that are now being promulgated. We're actually starting to see some movement toward longer-term contracts. So typically when people have some uncertainty about A; what their developmental plans are due to commodity pricing or B; Just the inherent viability of the plays on proving up acreage. So now we move beyond the proving up acreage and now moving toward mining type of exercises. So, I think, our customers' willingness to enter into longer-term contracts is becoming more feasible.
Praveen Narra: That's all. If I just squeeze one more in that out. I know you mentioned you don't route to get into 2020, putting numbers out for orders yet. But I guess, can you talk about the lead targeted how early. How are we only you actually to make that decision at this point in the cycle?
Eric Long: Yeah. So, I think we mentioned that the lead times for the major components have come in somewhat. We were looking at a year ago and the excess of a year lead time. Now we're in those the low 40 weeks range. So, if you think about that's roughly nine months from today. So, we actively assess the marketplace. We don't have to make just one order over the course of the year. And we've always added assets on a quarter-by-quarterly basis you're adding commitments on a quarterly by quarterly basis. So, you will not see your centers make an announcement one day where we said although, we've we made one big giant order for 2020 will be lagging into it in that year. We've already contemplated what that legging is going to look like to some degree. But I think we want to approach 2020, somewhat cautiously in light of the softening of the lead times. We want to make sure that the demand truly develops. And I think the indicators that we're seeing from our primary customers are that 2020 is going to look a lot like 2019. And with the equipment availability improving somewhat, it gives us a little bit more time before we have to make some of those major CapEx decisions. 
Praveen Narra: Perfect. Thank you very much.
Eric Long: Thank you.
Operator: All right. Thank you. Our next question will come from Jeremy Tonet with JPMorgan.
Charlie Barber: Hey, good morning, guys. This is Charlie on. I think you addressed it a little bit, but just looking at the existing units, look it came down a bit versus last quarter. It sounded like that was mainly due to the removal of some smaller horsepower. I was curious if there's anything else going on there. I know that you're reconfiguring to me just new units deployments, just curious how that number might trend over the next couple of quarters?
Matt Liuzzi: Yeah, Charlie. It's Matt. Really nothing more than really what you had mentioned. We had a couple customers. I would say they were inherited customers through the CDM transaction that we decided we're going to start bringing into new units back from and so we consciously made that decision. So that was really what drove that that horsepower number in terms of starts and stops and really the new unit deliveries, everything sort of right on our internal plans as it were.
Charlie Barber: Okay. Thanks. Helpful. If one other on -- and I guess more high level, you talked a little bit about some activities in Fort Worth, one of your peers talked about specifically the Rockies and the Northeast seen more activity. I guess, I'm curious are you seeing anything -- any interesting developments in those areas or could this maybe more an aggressive approach for maybe appear versus kind of keeping your return hurdles intact?
Eric Long: Yeah, I would say, it's probably some folks looking to buy some market share rather than looking at some systemic fundamental drivers. We've -- Northeast as an area that we've had operations from the formation of the company. We continue to see every opportunity that -- or most every opportunity that avails itself in that part of the world. So, we're very selective in our customers, in our return thresholds that we see. So, we continue to see business is normal in that part of the world and we also continue to see some cautionary signals being coming out of the Rocky Mountains, particularly Colorado right now in light of some of the regulatory uncertainty. So, I think we're being highly selective, both with our -- the customers who we choose. There are some financial restructuring going on right now with some of the upstream guys. We want to make sure that our assets are deployed with most creditworthy customers who exist. I think we've said in our script that we are not chasing growth just for the sake of growth, we grow for the sake of profitability and accretion and creating value for our shareholders. So, both those areas are areas that we do have a footprint in the presence and to the extent we deploy new capital will be on projects that achieve our return thresholds.
Charlie Barber: Makes sense. Thanks. That's it from me.
Eric Long: Thanks, Charlie.
Operator: All right. Thank you. Our next question will come from Barrett Blaschke with MUFG Securities.
Barrett Blaschke: Hey, guys. Just a quick question sort of on leverage and where we -- what's the target at this point and sort of timeframe for achieving it based on the results you're seeing today?
Matt Liuzzi: Yeah, Barrett. It's Matt. I don't think anything's really changed on that. I think as we -- now you're I think you're seeing things really start to click here with the full integration. So we expect to continue to work on building coverage that's going to allow us to paydown debt and I think something towards the low fours is still where we want to target, it -- that doesn't happen overnight, so it's going to be here in the nearer term future, but I think directionally that's where we're headed.
Barrett Blaschke: So, we say low fours is that the near-term target or is that the long-term target?
Matt Liuzzi: I'd say that the long-term, but not 10-year target. I think it's going to take a little while. But in the next couple of years, I think we get down headed towards that level.
Barrett Blaschke: Okay. Thank you. That's really always kind of looking for today.
Matt Liuzzi: Okay. Thanks. Bert.
Operator: Thank you. [Operator Instructions] And our next question comes from Thomas Curran with B. Riley FBR.
Thomas Curran: Good morning guys.
Eric Long: Good morning.
Matt Liuzzi: Hey, Thomas.
Thomas Curran: Curious four fabrication of larger horsepower units for those packages when you order them at this point, what lead times are you being quoted by the fabricators and how does that compare to say six months and a year ago?
Eric Long: Good question. And again I think it's specific to the various fabricators there are small guys, intermediate guys, large guys, guys who specialize in big horsepower, guys who specialized in small horsepower, folks that are domestic and folks that are international. Generically, what I would say is that think about a snake, the Anaconda eating guinea pig. It takes a while to work through the system. So, a year, 30 months ago -- so from a year to 30 months ago, there was a lot of eating of guinea pig going on. And I think what you're seeing now is the fabricators are running relatively full through the first call of the first -- and the back half of this year, the first quarter of next year and then as we start to see looking at kind of the second quarter, third quarter and fourth quarter of 2020, there appears to be a fair amount of the fabrication capacity available. So that would suggest to us that the pipeline constraints that you're seeing coming out of the Permian and Delaware Basin are being recognized and are starting to have an impact on the E&P guys, in the private equity back E&Ps and some of the smaller midstream guys on some of their developmental plans. So I think when we look at some of the takeaway capacity issues that's been going on in the Northeast for a while, they are being addressed Mid-Continent, being addressed Permian, Delaware, being addressed there's year to 18 months of lead time. So what we think is that over the next year to 18 months, things are going to be kind of status quo. There will be some moderate growth, but not excessive growth. And then once the takeaway capacity is dealt with basis differential will improve. Commodity prices receive net back of the wellhead both for oil and natural gas depending on which basically you’re in could improve and it should again kind of further accelerate activity. And we'll see but the fabricators look like at that point in time, but we view that as a pretty good leading indicator of what other operators and competitors and peers take a look at from a demand signals incident and it would suggest that kind of that second, third and fourth quarter of 2020 people haven't slammed on the brakes, but they also have a massive accelerator either.
Thomas Curran: Thank you for that. Very thorough answer and the creative metaphor evoked quite a visual there. Shifting gears to the long time overarching secular theme, that's been out there for contract compression, which has been the sort of stop and start transition towards outsourcing for the operators. Could you update us on your current estimate as to how much of the total active horsepower out there is currently in the hands of the contractors? What percentage?
Eric Long: That's a great question. Well, we look toward is if you go back when we started USA Compression 20 some years ago, domestically we produced and consumed 52, 53 Bcf of gas per day. And today we're kind of in the 90 going to a 100% Bcf range roughly double. And when I look at is over the last 20 years on a percentage basis, how much of the contract compression guys grown versus the total number of assets that were built and deployed into the market by Caterpillar, Aerial and others. It looks to us at roughly 20% plus or so of the market over the last 20 years has been captured by USA in our peer group and the contract compression sector. When we look at activity today, the asset what we're quoting and we look at horsepower that's being built in 2019 and probably going to be built in 2020. It looks to us that mix is still about 20% contract compression in 80% owner operator, some of the bigger guys in the large regional gathering system, some of the big processing facilities etcetera. So honestly, when we look at it we see that the absolute amount of horsepower in the hands of the USA and Archrock in some of our smaller peers have grown substantially. But on a percentage basis, it remains about the same of roughly 20% or so. What we do think is coming is that with the focus on living within everybody's means, the self funding requirement that the Wall Street and others are replacing on E&P's Midstream's, in pipeline companies, equity is precious, leverage is same for saying, coverage is extremely important. We continue to see signals from people who historically minor the uncompression, looking at it has not necessarily a core business competency. It's not something that they look at and say, I have to own my compression. It's something that is near and dear to my balance sheet. Frankly, we're starting to see moves by some people who historically have acquired and owned and operated assets looking to outsource. And I think that that to us is the more exciting trend is a potential and then not going to call radical shift, but it methodical shift to larger and larger customers who control vast amount of acreage or vast amounts from gathering systems and vast amounts of processing assets. Looking going forward to make alternative arrangements more of their incremental compression, not necessarily monetize your existing assets, but more importantly on the incremental growth projects. Turning over the operations maintenance construction development, the day-to-day your contract compression to the likes of the USA Compression, so we think that over the next five to 10 years that trend will potentially accelerate. And I think USA Compression is kind of a unique thing positioned to capitalize on those large horsepower applications with some of the lowest leverage in the industries, some of the best coverage in the industry, availability under our senior credit facilities and our ability to tap into the marketplace for some of these select opportunities that are very, very accretive financially with extremely creditworthy customers.
Thomas Curran: That was helpful answer. Thanks for taking my questions.
Eric Long: Thank you, sir.
Operator: All right. Thank you. At this time there are no further questions in the queues. And I would like to turn the call back over to Eric Long for closing remarks.
Eric Long: Thank you, operator and thank you all for joining us on the call today. The first quarter was a great start for the year and a great way to wrap up the first 12 months of combined USA Compression CDM business operations. The market for compression services continues to be strong and our focus hasn't changed, driving utilization of the pricing, watching the expenses while operating in a safe manner and providing our customers the level of service they have become accustomed to. With the integration behind us, we are focused on driving attractive economic returns for our unit-holders over the long term. We've proven the model is sustainable during the downturn. We've now demonstrated that we've been able to do successfully integrate a business with great assets like CBM and we now look forward to continuing to deliver results for our unit holders. We look forward to updating you on the next quarterly call. Thank you for your continued interest in and support of USA Compression.
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. You may now disconnect. Please enjoy the rest of your day.